Operator: Good day, everyone, and welcome to today's Manitowoc Company's Fourth Quarter 2012 Earnings Call. Today's call is being recorded. And at this time, for opening remarks and introductions, I'd like to turn the call over to Mr. Khail. Please go ahead, sir.
Steven C. Khail: Good morning, everyone, and thank you for joining Manitowoc's fourth quarter earnings conference call. Participating in today's call will be Glen Tellock, our Chairman and Chief Executive Officer; Carl Laurino, Senior Vice President and Chief Financial Officer; Mike Kachmer, President of Manitowoc Foodservice; and joining us from France is Eric Etchart, President of Manitowoc Cranes. Glen will open today's call by reviewing our 2012 accomplishments and our go-forward strategies. Carl will discuss our financial results for the fourth quarter and provide our initial guidance for 2013. Then our segment presidents will review their 2012 highlights and offer an outlook for their businesses in 2013. For anyone who is not able to listen to today's entire call, an archived version of this call will be available later this morning. Please visit the Investor Relations section of our corporate website at www.manitowoc.com to access the replay. Before Glen begins his commentary, I would like to review our Safe Harbor Statement. This call is taking place on February 1, 2013. During the course of today's call, forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995, will be made during each speakers' remarks and during our question-and-answer session. Such statements are based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied projections due to one or more of the factors explained in Manitowoc's filings with the Securities and Exchange Commission, which are also available on our website. The Manitowoc Company does not undertake any obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or other circumstances. With that, I'll now turn the call over to Glen.
Glen E. Tellock: Thanks, Steve, and good morning, everyone. We ended the year well with fourth quarter sales growth of 10% and further margin improvement. Our full year results, which were in line with our revenue and earnings expectations, reflect the solid execution of our team against our strategic imperatives in the face of prolonged uncertainty in the global economy. Our Foodservice segment reported year-over-year sales growth of 7% in the fourth quarter with increased revenues across all of our geographies. During the quarter, we also experienced solid year-over-year margin improvement with operating margins increasing 70 basis points while our -- while maintaining our investments to further strengthen our Foodservice business. Our strategy, that primarily centers on chain customers and evolving product lines and driving sale economies, continues to bear fruit. Turning to Cranes. Sales grew 12% during the fourth quarter, representing our highest sales level since the fourth quarter of 2008. More impressively, operating earnings increased 45% on a year-over-year basis. Demand for our crane products continues to be strongest in the Americas, complemented by improving activity in certain emerging markets and the greater Asia-Pacific region. From a product perspective, large, rough-terrain cranes and all-terrain cranes were the best contributors to growth for the quarter. We expect 2013 to be another year of continued growth in both segments for revenue and earnings. We are focused on margin improvement in the face of slow growth and potentially choppy end markets and macro economies. Lingering concerns over government transitions, regulatory policies and consumer confidence have influenced our outlook and action plans as we start 2013. However, our team has proven, time and again, its ability to navigate through challenging landscapes. We have been diligent in our efforts to improve operational efficiencies and manage our cost structure over the last several years. Our company-wide strategic initiatives remain unchanged. We will balance our investments for long-term growth with our unwavering commitment to drive meaningful enterprise margin expansion. Now let me highlight some of these investments and initiatives. First, we continue to make strides to enhance and rightsize our global manufacturing footprint. As we previously discussed, we are building a multipurpose Foodservice manufacturing facility in Monterrey, Mexico. We are also in the process of further consolidating certain beverage equipment production from Southern California to an existing facility in Tijuana, Mexico. Additionally, in Cleveland, we have invested in expanded manufacturing, in a new full-capability test kitchen that includes training, engineering and marketing support for our Others [ph] production in the Americas. These investments have not only enabled us to consolidate our operations but to also improve customer service and accelerate our product development processes. Second, as part of our manufacturing strategy in Cranes, we remain committed to not only growing our presence in emerging markets but also improving our footprint in manufacturing efficiencies globally. For example, as part of our initiatives in France, we are developing a shared services platform to serve our tower crane manufacturing and support operations in Nuan [ph], Sharlene [ph] and Ecully. In addition, we're accelerating our lean initiatives across all of our European operations to boost our manufacturing efficiency, while also launching a program to in-source various components and processes to drive improved long-term profitability. As we have stated, Brazil represents an excellent opportunity for Manitowoc, which is enhanced by our new crane manufacturing facility in Passo Fundo. Our Brazil factory will not only support our strong market shares in the Latin America region, but should benefit from strong infrastructure spending in energy, highway and transportation projects. Another important manufacturing initiative is our ongoing commitment to China, the world's largest construction equipment market. Our presence in and service to this market holds great value and, subject to final government approvals, it will soon be enhanced. We recently signed an agreement to replace our joint venture partner with Shantui Investment Company Limited. Eric will discuss the benefits of our expected -- partnership with Shantui later in the call. Moving on, the implementation of several operational excellence and quality initiatives remains a key priority for 2013. These initiatives include our previously discussed Project One ERP initiative, the recently completed demand flow project to streamline our boom truck manufacturing, plus numerous operational excellence imperatives in both segments, which include facility consolidations, lean initiatives and regionally targeted manufacturing. These initiatives, coupled with our procurement savings, should enable us to significantly improve our enterprise margin profile, even in uncertain market conditions. To conclude, our 2012 results benefited from investments to extend market shares, drive growth, optimize our cost structure and expand margins. Looking ahead to 2013, global economic growth will continue to be challenged. However, our proven history to manage the company in any market environment, coupled with our focus on strategic investments and initiatives, has set the foundation for sustained margin improvement as we move into 2013. I will now turn the call over to Carl to discuss our detailed fourth quarter financial results and to share our initial thoughts on guidance for 2013. Carl?
Carl J. Laurino: Thanks, Glen, and good morning, everyone. We reported net sales for the fourth quarter of $1.1 billion, which is an increase of 10% from a year ago. The year-over-year sales increase was driven by a 12% increase in Crane segment sales coupled with a 7% increase in Foodservice segment sales. GAAP net income for the fourth quarter was $34.5 million or $0.26 per share versus net income of $14.9 million or $0.11 per share last year. EPS, excluding special items, was also $0.27 per diluted share in the fourth quarter of 2012 versus $0.14 per diluted share last year. As noted in our press release, positive Q4 EPS adjustments included accelerated debt reduction charges and restructuring charges, primarily related to headcount reductions in our European Crane business. Moving to the balance sheet. We reduced our debt by $204 million during the quarter, bringing our full year debt reduction total to approximately $80 million. Debt reduction in 2012 fell short of our full year target due to a high volume of cranes that were shipped in the waning weeks of the fourth quarter. As a result, we had $60 million more in working capital at the end of December than we planned, primarily in the form of accounts receivables that we expect to collect in the first quarter of 2013. This provides an opportunity, which will mitigate the seasonal cash flow usage we typically see in the first quarter. Turning to our segment results. Foodservice sales in the fourth quarter of 2012 totaled $363 million, up 7% from a year ago. Fourth quarter 2012 operating earnings in Foodservice were $50 million, a 12% increase. Operating margins of 13.8% were 70 basis points higher, driven by a favorable product sales mix and improved operating efficiencies across the segment. It is also important to note that we achieved these margin results while maintaining our investments in our key brands and product categories across our global platform, a strategy that we will continue to pursue to satisfy customers' demands for new and innovative products. Moving to the Crane segment. Fourth quarter sales totaled $767 million, a year-over-year increase of 12%. Fourth quarter sales were driven by successful shipment of pent-up third quarter units, as well as continuing strong demand in energy and infrastructure markets with geographic strength, primarily in the Americas and greater Asia-Pacific. Overall, Crane segment operating earnings in the fourth quarter were $56 million versus $39 million last year. This resulted in fourth quarter Crane segment operating margins of 7.3%, up 170 basis points. This year-over-year comparison was positively impacted by product cost takeouts, volume-related benefits, operating efficiencies and pricing. Crane backlog at quarter end was $756 million, which was a slight decline from the prior year quarter. While fourth quarter orders declined 19% from the prior year period, second half 2012 Crane orders were essentially equal to those in the second half of 2011. Year-over-year differences in stocking activity, coupled with the timing of pricing increases, affected second semester order activity in both years. Year-to-date, EVA improved through the fourth quarter of 2012 by 28% versus the fourth quarter of 2011. In the Crane segment, EVA climbed 112%, returning this business to positive full year EVA for the first time since 2008. During the quarter, Foodservice also posted solid EVA growth with an improvement of 25% compared to the fourth quarter of 2011. Before concluding my remarks, let me discuss our 2013 outlook. For the full year, we expect mid-single digit revenue gains in Foodservice and high-single digit revenue growth in cranes. We expect to achieve a continuing mid-teens operating margin in Foodservice and a high-single digit operating margin in cranes. We view 2013 as a transition year for Foodservice margins, where improvements in the core business will offset strategic investments that lay the groundwork to realize our longer-term high-teens margin expectations. Our debt reduction in 2013 should exceed $200 million, while capital expenditures and interest expense will approximate $100 million and $125 million, respectively. Debt-to-EBITDA will once again decline more than 1 full turn to below 4x, approximately half of the peak level experienced in 2010. Finally, we expect the full year effective tax rate to be in the mid-30% range with seasonal volatility similar to our 2012 results. Let me now turn the call over to our next speaker, Mike Kachmer, who will share his thoughts concerning our Foodservice segment. Mike?
Michael J. Kachmer: Thank you, Carl. We made significant progress in 2012 advancing our strategy and solidifying our leading position in the global Foodservice industry. Our fourth quarter results were solid with sales growing across most markets, margins meaningfully expanding and investments being made in our brands and product categories. From a geographic perspective, North American demand rose during the fourth quarter, primarily driven by U.S.-based global chains. In addition, we saw increasing demand in other international regions, such as Asia and Europe, as we closed out the year. Equally important, we experienced margin expansion across all of our geographic regions during the quarter, while maintaining our strategic investments in the business such as improving our infrastructure in emerging regions. Looking at our results from a product line perspective, we saw increased activity in both our hot and cold product offerings during the fourth quarter. Specifically, we continued to see strong activity related to our Merrychef accelerated cooking ovens, particularly in the convenience store and sandwich shop segments. And in December, we began shipments of our blended ice machines, to support our launch in several European markets beginning in the spring. We also enjoyed continued success with our Indigo ice machines at leading chains seeking energy and water savings, as well as operational improvements. Our success with Indigo allowed us to gain additional market share in 2012 in the large and highly competitive ice cube machine segment. In 2012, our investments in new product development yielded more than 30 new products. We introduced a variety of technological enhancements for multiple product offerings, as innovation remains core to our strategy. Products from 8 of our brands were recognized for their innovation by the North American Food Equipment Manufacturers Association and will be featured in their WHAT’S HOT! WHAT’S COOL! pavilion at the industry's largest trade show next week. Our WHAT’S HOT! products include our combi smoker from Convotherm, our Garland green heat induction technology and our Merrychef eikon e6 oven with Planar Plume Technology. Among our WHAT’S COOL! products featured at NAFEM will be the Multiplex ice core beverage chiller plus a new line of ice machines from Manitowoc. The strength of our products and brands provides significant opportunities to grow along with our customers. Not only do we aim to be their supplier of choice, but also their innovator of choice. Our customers are constantly looking for new ways to enhance their menus, and we are at the forefront of that innovation. As validation, Manitowoc received important recognitions in 2012. First, we received 3 kitchen innovation awards from the National Restaurant Association; second, 5 Manitowoc Foodservice brands won prestigious 2012 Overall Best in Class Awards from Foodservice Equipment & Supplies magazine; and lastly, we were recognized by McDonald's for our sustainability accomplishments. Looking to 2013, we will deploy additional resources to strengthen our ice machine, beverage dispensing, fryer and accelerated cooking product lines while also commercializing new services. Maintaining our industry-leading positions with all of our brands is critical to our strategy and will be a major driver of our expected growth. In 2013, we will combine these great brands with an intense focus on select strategic accounts and long-standing channel partner relationships in our effort to accelerate growth in all markets. We have also invested significant resources implementing our manufacturing strategy and driving lean initiatives. As a result, we expect our production efficiencies and our cost structure to improve significantly in 2013 and beyond. As Glen mentioned, we are building a multipurpose manufacturing facility in Monterrey, Mexico, as well as consolidating certain beverage and ovens operations. We remain committed to optimizing our operational footprint over the next few years, while further implementing world-class manufacturing processes. Over all, we expect a modest growth environment in 2013, but our clear strategies will enable us to drive improved financial performance in the near and longer term through intense customer focus, greater innovation around our brands and relentless efforts around operational excellence. With that, I'll now hand the call off to Eric Etchart for his views and outlook on the Crane segment.
Eric P. Etchart: Thank you, Mike. We ended 2012 on a promising note for the Crane segment with notable year-over-year and sequential revenue growth, as the deal [ph] achievement from Q3 bolstered revenue in the fourth quarter. Driven by sustained execution across all levels of the segment and geographies, we also saw significant margin expansion to close out the year. Specific to our sales growth, we experienced strong activity in the Americas regions during the fourth quarter. We also saw higher demand in several emerging markets, such as Brazil, Central America, Africa in general and Algeria in particular, the Philippines and Thailand in greater Asia-Pacific, while demand in Europe and China remained pressured. An unseasonably high third quarter backlog, coupled with a cautious sentiment among customers driven by the recent elections, the fiscal cliff debate and debt ceiling concerns in the U.S, contributed to the sequential and year-over-year decline in orders during the fourth quarter. From a product line perspective, we saw varied demand levels across our product categories in cranes, with large rough-terrain cranes and all-terrain cranes making strong contributions as the demand continues to be driven by energy and infrastructure projects. Boom truck sales are also increased during the quarter, primarily driven by activity in the oilfield and residential housing markets in North America. Typical with previous years, crawler cranes activity picked up toward the end of the quarter in the Americas regions, while tower crane activity remained pressured during the fourth quarter, most notably in Europe, China and the Middle East. Lastly, frankly, it [ph] continues to experience steady growth with solid activity across all regions and as this business contributes to enhancing the reputation of our products in the eyes of customers in both traditional and emerging markets. During 2012, we introduced 10 new crane products, including the gross 400-ton capacity GMK6400, which began shipping in the fourth quarter. In addition, I am pleased to announce that our first Model 31000 crawler cranes has been shipped to one of the largest rental operations in Korea. We firmly believe that our recent and future product introductions are great investments for our customers because they offer exceptional quality, dependable performance and optimal residual value, as illustrated by the success of our RT9150, one of the world's highest capacity rough-terrain cranes and the GMK6300L, a remarkable all-terrain crane that we launched in 2012. As we enter 2013, we expect to announce several new products during the year as we emphasize our innovation imperatives and enhance our competitive position. On that note, let me reiterate some of our top key initiatives for the Crane business as we move forward to 2013 and beyond. First, continued investment in emerging markets. As Glen mentioned, production at our new facility in Brazil has ramped up, and during the fourth quarter, the first Grove rough-terrain cranes assembled in this factory were delivered. This new facility creates significant opportunities for Manitowoc in both the near and long term, in a region where our brands are clearly market leaders. Second, we are focused on improving our operational efficiencies through initiatives such as Project One. When fully implemented, our new ERP system will unite and streamline numerous information functions across all of our crane operations while enhancing our customer responsiveness and long-term margin profile. And finally, we are committed to growing our presence in the Chinese truck crane market. Our joint venture with Shantui, a widely recognized and leading manufacturer of construction equipment, will enhance Manitowoc's presence in this strategically important market. Our initial plans calls for Manitowoc and Shantui to design and build truck cranes in China for both the domestic and export markets. Leveraging a dual-branding strategy, the JV is expected to supply high quality truck cranes for various emerging markets, including India, the Middle East, Latin America and Eastern Europe. With a Shantui factory located close to the joint venture facility in Tai'An, the joint venture will have direct access to a large and skilled team of managers to lead the joint venture's operations, human resource and purchasing functions. In addition, Shantui's sister company produce many of the key components the JV cranes will require, which we can also, for our cranes in Manitowoc's product line, have access. Terms of the joint venture were finalized by Manitowoc and Shantui last week with government approval of the joint venture expected shortly. Looking ahead to 2013, we expect another year of modest growth due to the expected slow markets in Europe and for tower cranes product lines specifically. The his segment will focus on margin expansion, thanks to our commitment to world-class manufacturing, quality initiatives and operational excellence. In addition, we will continue to enhance our competitive position by investing in new products and growing our presence in emerging markets to drive long-term profitability. With that, I return the call to Glen for his closing comments. Glen?
Glen E. Tellock: Thanks, Eric. Despite the challenges of 2012, we clearly demonstrated our ability to expand margins and capture market share in both Cranes and Foodservice. Looking forward, we expect 2013 to be a modest growth environment. However, I am convinced that we have the right strategies in place to leverage our market-leading positions with prudent investments while emphasize -- emphasizing our commitment to increasing profitability, boosting margins and creating greater shareholder value. Put another way, we'll continue to build something real for our customers, for our employees and for our shareholders, as we have done for the past 110 years. This concludes our prepared remarks for today. Melody, we will now begin the question-and-answer session.
Operator: [Operator Instructions] Now we'll go to Ted Grace with Susquehanna.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: I was hoping to just touch on the crane orders, and I know that I think both Glen and Eric had mentioned kind of the transient impact of fiscal cliff and elections in the U.S. But is there any chance you could just try to quantify what that impact may have been or even talk to the progression of orders through the quarter and maybe give us some characterization of how January's felt?
Carl J. Laurino: I can -- I mean, I can talk about the pacing a little bit, Ted. This is Carl. I think, as you would expect, given the election in early November, I think we had definitely a very slow start to the normal type of pacing that we would typically see in the fourth quarter. You know it's tended to be seasonally strong, as is the first quarter typically, and I think that eased a little bit post-election but obviously you still had the fiscal cliff concern. So overall, the other thing that I commented on in my section was the semester-over-semester essentially being pretty close to flat and there were some differences as it relates to some announced pricing that took place in the fourth quarter of '11, that actually took place for '13, this year, in the third quarter and I think that, that added a little effect on the pacing of the second half of year orders in both years.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Okay. And then just because we normally think about 4Q, 1Q being the strongest order quarters in this transient dynamic in the fourth quarter, could you -- should we recalibrate our expectations for 1Q, 2Q? And just to hit -- it's not hard to see the backlog, but when should we look for orders to maybe accelerate to provide the coverage to hit the revenue growth targets?
Glen E. Tellock: Well, Ted, I wish I had the definite answer for that question. But I think by just providing the guidance that we did, I think, gives us some certainty that we still look around the globe and, whether it's in Asia, whether it's in some of the emerging markets or even here in the Americas, I think we're comfortable with the guidance. I mean, we're only 31 days into the year, and so I'd hate to say we're going to expect it to ramp up in the first quarter, not in the second. I think it's just a different dynamic and again, you still have some of that fiscal cliff issue being kicked down the road through the end of February. So I think it's just a different dynamic, but I still feel comfortable with the guidance that we've given on Crane revenues. And, Eric, do you have anything to say on that?
Eric P. Etchart: No, I would agree. Obviously, we haven't seen the level of activity in the orders from the dealer in North America that we have seen in 2011, and that's a big driver for the difference and for the reasons we have discussed. But you have some certain positive signs that you will see in the Americas regions, for example, or some other emerging market as we said. But obviously what's going to happen in Europe is also a big question mark and the activity is very sluggish. So if you put that in the bag, I think the guidance we gave is a realistic one.
Operator: We'll go to Andy Kaplowitz with Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: The guidance that you gave for Crane margins is pretty wide. And I mean, I know why you're doing it, there are a lot of variables there. But can you talk about some of the variables that would lead you to the high end of the range versus the low end of the range? And maybe, in past calls you've talked about mid-20% incrementals as a realistic goal for 2013. It seems like at the high end of the range, you're like [ph] higher than that. And is that because you faced a bunch of one-time issues in '12 and you can get better in '13? And so how realistic is it that you can get to a 30% incremental or higher in '13?
Carl J. Laurino: Yes, Andy, Carl again. The comment I would make on that is, as we've been talking about quite frequently, there's really been a negative mix to the current upcycle that we've seen and we don't see that necessarily changing to any great extent. I think with some of the inquiries that's going on, on some of the larger capacity crawler cranes, certainly provides some potential for the latter part of 2013. But other than that, certainly not hanging our hat on getting a huge benefit that's coming out of mix. The benefit that we see to get -- up to those higher margin levels that are implicit in the guidance, really comes from some of the product cost takeout operational efficiencies that are ongoing to -- in the business and important initiatives for us in 2013 that Glen touched on in his prepared remarks.
Glen E. Tellock: Yes. Andy, I would add to that, with respect to both Foodservice and Cranes, I think the speed, as some of the initiatives that we have going on, whether it's in Europe or whether it's in Mexico or whether it's in the United States and in the areas that we mentioned, the speed of how fast some of those come into play and the annualized amounts that we get out of the savings and the benefits from some of those things, that can place -- that places us at a higher end, but I think we've tried to use a realistic number to guide into some of those margin expectations. But a faster pace into some of those initiatives or completion, which on Cranes, some of them go into 2014 along with some of the Foodservice, it's a matter of you have a little bit of investment and not all the savings until really the first part and middle of next year.
Andy Kaplowitz - Barclays Capital, Research Division: Okay, that's helpful, Glen. And then let me ask you about food equipment, in the sense that you gave this guidance for continuing mid-teens margins, which is obviously also kind of wide. I mean you talked about some of the investments in '13 that are going to offset some of the cost savings and the modest revenue growth. But can we expect some margin improvement in '13 based on some of the cost initiatives that you've already had? New products are still coming out and you will have some inherent growth there. I mean, we still expect some growth in margins. Is that fair?
Glen E. Tellock: Yes. I think the answer to that, Andy, is yes. But I don't think you're going to see the -- we tried to be realistic about it because of some of the investments. It's not the size of the improvements you saw '11 to '12 and '12 -- I'm sorry, '10 to '11, '11 to '12. But again, I want to get you to, when you look over the next 24 months as you get into 2014, that's when we should see the greater jump in the margins in Foodservice.
Carl J. Laurino: I think that's the -- I think the expectation for '13 is definitely a transition year. Remember that we did have a little bit of an unusual windfall in the first quarter of '12 that we certainly wouldn't expect to replicate, and that will create a little bit of a challenge in the first quarter. And then I think some of the benefits that we would see from some of the initiatives that we have in place really are late in -- come to roost late in the year. And the benefits that we're getting from the things we've already done are being offset from some of the longer-term investments that are being made that will enhance 2014 margins.
Operator: Next we'll go to Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Just to continue the Foodservice margin discussion, because that sounds pretty interesting heading into '14. I'm wondering if you might quantify for us the lean initiatives spending in 2013, in terms of how meaningful of a headwind that is and what's the additional run rate savings that we're going to see in 2014 versus '13, once you're done with those initiatives as well?
Carl J. Laurino: Well, I'll make a comment on that and then turn it over to Mike for any color that he would want to put in. And the benefit that we received from our lean initiatives this year is probably in the high-teen-million-dollar level in total for 2012. We would expect similar levels in 2013 and that's -- that, I think, gives you some flavor, given the kind of the flattish expectation we've given for Foodservice margins about some of the investments that we're making in the business, in order to drive operational efficiencies that will enhance 2014 and beyond.
Michael J. Kachmer: Right, Carl. Just picking up on that comment, I think it's important to keep in mind the size and quantity of the initiatives in 2013. We're completing the consolidation of a factory from Fort Wayne, Indiana into Cleveland, Ohio, and along with that comes substantial expenses. We're closing multiple operations in Southern California, moving them to an existing base in Tijuana, Mexico. And we've got a major new campus, factory, that's starting up in Monterrey that also has substantial expenses associated with it. So while we've done a lot since the acquisition of Enodis, the rate of expenditure and movement in 2013 is even more substantial, which is a good signal and again, being offset by the other good things that are taking place from past years, including LEAN.
Jerry Revich - Goldman Sachs Group Inc., Research Division: That's helpful context. And just a clarification, Carl, the teens number that you mentioned, is that just for Foodservices or across the enterprise?
Carl J. Laurino: That was Foodservice.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And on the Crane business, I'm wondering if you could just rank order for us which regions you expect to drive your business in 2013 and specifically, I guess what kind of top line pickup are you expecting out of North America franchise?
Carl J. Laurino: I think certainly the Americas is the -- an area of the business where we are expecting continued strength. It's certainly been a big part of the upcycle that we've seen thus far. Other -- we've commented on other emerging markets. Asia for Cranes has been a difficult story, given China in total. We see that turning around, definitely in 2013, and the indications that we've seen thus far are certainly adding some credibility to that idea.
Operator: We'll go next to Schon Williams with BB&T Capital Markets.
Christopher Schon Williams - BB&T Capital Markets, Research Division: I wondered if you could just comment maybe a little bit more on the new China JV, maybe talk about when should we expect the benefits from that new relationship to start to impact the numbers. And then your old JV was -- it looked like it was unprofitable. Should we expect this new JV to be immediately accretive? What should we expect in terms of financial impact there?
Glen E. Tellock: I'll make a general comment and then I'll let Eric follow up on some of the -- more specifics. But this is a JV we've been in for quite a while, and if you recall, I think there was some assumptions made. We got into this with our original partner. There were some things we couldn't get through the government, and so by changing out our joint venture partner with somebody the size of Shantui, it gives us a lot more opportunity with, not only the improvements of the business to get to some pretty aggressive targets that have already been set between the 2, but I think when you look at it, the last thing we have to get, Schon, is the final government approvals, which we expect here in the next couple of months. So I would say, what you're going to see from any of the accounting and improvements, you'll see in the second quarter of this year. As we go into the -- to 2013, I think as each month goes by, we should continue to see improvement as every month goes by, as Shantui brings some of their operational experience and management skills from the China, where we will bring a lot of the technology in some of our designs. So that's really what it is but, Eric, I'll let you talk to the specifics of some of maybe your goals.
Eric P. Etchart: Yes. Well, Obviously, Shantui is a very strong player in the China market. I mean, if you look at their bulldozers, that's one of their product lines, they are the #1, with probably 60% market share in China, and they have a fairly large distribution networks. And if we really want to step up on that distribution network, first of all, to sell obviously the product that the JV will produce, but also to penetrate -- probably, we have more chance to succeed with our rough-terrains and our all-terrain cranes, which are not going to be built in China, but I think access to that distribution network is really very important for us. Again, with the previous partner, we didn't have a carrier license and this was really a different headwind for us to be successful in China. And then finally, as I mentioned earlier, Shantui is part of SHIG, and we think the Shandong Heavy Industry Group, you have Weichai Power and they produce a lot of components, like gearboxes, axles and translations [ph] , things that we can really use in our truck cranes in China, but also possibly leverage for our -- the other products. So for us, China is a very important market, not only because of the sheer size of the Chinese market, but we believe also that, if we know how to play in that market and be relevant, we will be probably also stronger in, let's say, competing with the Chinese in the other emerging markets. So it's, I think, a very good move for Manitowoc, again short-term, but long-term, I think we have a lot of potential to leverage that partnership with Shantui.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay, and then a follow-up on Cranes. Could we just talk about where we are in terms of utilization for the new Brazil facility and maybe the impact we can expect from that location in 2013 versus 2012?
Carl J. Laurino: Well, we've been happy with the ramp-up and the efficiency of the factory. Obviously, it's only one factory and the success that we're having there is obviously inherent in the overall guidance that we've given. But we're on pace with where we expected to be at this point in the project. The other thing that I might mention is we are getting some benefits from a finance standpoint because of the amount of local content that we have that's helpful for our customers.
Eric P. Etchart: Yes, and maybe, Carl, I would throw in another comment. We also intend to -- given the potential that we see in these markets, we are going to start the production also of tower cranes. So we are starting with 3 models of rough terrains and we're going to start by the end of the year to produce also some tower cranes.
Operator: We'll go next to Charlie Brady with BMO Capital Markets.
Charles D. Brady - BMO Capital Markets U.S.: The guidance on the Foodservice revenues, just can you clarify, is that pro forma for removing Jackson?
Carl J. Laurino: Yes.
Charles D. Brady - BMO Capital Markets U.S.: All right. And then just on Eric's comment on the Crane business, I think you commented that, towards the end of the quarter, you started seeing a pickup in the crawler business. Could you just elaborate a little bit on that? Is that tearing through? Was it a temporary type of thing? Are you seeing some real -- starting to see some improvement in the crawler side?
Glen E. Tellock: Well, I think -- I wouldn't know that I'd call it great improvements, Charlie, but I think what Eric's comments in his -- the commentary, we seem to get this, I would say, over the last 2, 3 years, where people are looking -- and the crawler, obviously, has the highest price tag of most of the products. So when you look at what people have towards that end of the year, they're looking at their tax situation. They're doing all those things. I mean, it's -- you -- we've seen over the past 2, 3 years, where the fourth quarter seems to be a pretty bland [ph] order intake in crawler sales, what you can get out. So I think that's more of that -- the comment that it was consistent with prior years, so it was a pickup in the fourth quarter versus the second or third. But I think it's still that product line, that I think somebody asked, "How do you see the margins improve?" I mean, if you see a pickup in the non-res and you see a pickup in the housing, and people start feeling comfortable in a lot other different markets, that's going to bring that along. But I think we, again in our guidance, I don't think we have great expectations for the crawlers in 2013.
Charles D. Brady - BMO Capital Markets U.S.: All right. And just broadly on the cranes, you've talked a lot about the orders and kind of what's -- what happened in the fourth quarter. But I wanted just, on kind of an acquiry [ph] level, a kind of a little bit softer number. When you're hearing from your customers, as far as pent-up demand and what kind of that, how that feels among your customer base?
Glen E. Tellock: I'll let Eric take that one.
Eric P. Etchart: Well, I mean, of course, if you look in the America market right now, there is a kind of -- the mood is good. I mean there's a little bit upbeat, that's probably we had AED [ph] and CNRA [ph] in the first quarter, in January. And that's the first time in many years that we are starting to hearing some more capital purchase planning for projects that are really identified. So that's always, obviously, very encouraging. So you see also the housing in certain areas are picking up, which -- Sudap [ph] as well. You have the tower cranes, which is not a big market, but the rental utilization in towers is really getting good and the rental rates are up, so there are some signs that are definitely positive, I think, in the U.S. Utilizations and the rental rates are picking up, so that's really encouraging. But now, I mean, again, Europe is a completely different story and that's going to be a headwind, definitely, as we move into 2013 because we don't have hope that -- and especially on the tower crane business, because the mobile crane business has been better. But towers really we don't think we will see a lot of investment for the rental houses in Europe and especially in France and the other countries. Italy and Portugal and Spain, completely dead and will continue to be dead for a while.
Charles D. Brady - BMO Capital Markets U.S.: All right. One more, I'll hop off. Just on the Chinese truck joint venture that you guys recently announced, Eric, you've previously said in, I guess, an interview you were giving, that you got about a 1% market share now. You think 10% is a reasonable goal over 3 years to 5 years. I'm just wondering, is there any way to kind of quantify, if we look out 3 to 5 years, and you're able to get a 10% market share in the Chinese truck crane market, which is obviously the biggest in the world, what that might mean in terms of kind of revenues?
Eric P. Etchart: Well, I'll let Carl talk about the numbers. But, yes, that's a goal that we have with our joint venture partner, that we said that we got to get there to be -- again, we use relevant in China. And we think that with all the benefits that we get with Shantui and obviously the growth technology, we have the right ingredients to be successful. So, Carl, you want to comment on the sales turnover?
Carl J. Laurino: Financially, at this point in time, obviously we are a very small player in this market. It's a joint venture structure that's certainly enhancing our position with the upgrade, I'd call it, in the partner, that we hope to get through the government approval process, but I think it's a little early to start putting some specific metrics. That objective is there for us to try to approach, but I don't think we're really prepared to put a lot of meat on that bone yet.
Operator: We'll go next to Mig Dobre with Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: I'm wondering if you can provide a little more clarity around your Crane segment margin guidance. I'm trying to understand how much of the year-over-year margin improvement that you're seeing for 2013 is going to be a matter of volume and how much is driven by your operational excellence initiatives. And I'm also wondering if we're likely to see a similar dynamic as to what we're seeing in Foodservice, to where some of these initiatives could result in additional benefits in 2014.
Carl J. Laurino: Well, I think there is a difference certainly, between our expectations about the incremental margins in Crane versus Foodservice and a lot of that goes back to what we talked about earlier in the call, in terms of a transition year for Foodservice from a margin performance standpoint. For us, in Cranes, the bulk of what we expect is really coming from the efficiencies, the product cost takeout. We expect to see some material cost inflation that we expect to be able to cover through our pricing, and the balance of the improvement in the margins is going to come from -- lean quality initiatives is significant and the benefits that we get from those programs that have been put in place, in terms of our cost reductions that would come from quality, would be the key drivers.
Glen E. Tellock: But I think when you look at, Mig, some of the Crane initiatives, Mike said a little bit more near-term when it comes towards the end of 2013, early 2014. Some of the Crane initiatives, I would say, some of those, whether it's in France or some that we mentioned or some of the other ones in Asia, those are probably early 2014 at best, but the greater impact will be the back half of 2014.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then switching over to Foodservice. You mentioned balanced growth across geographies. I'm wondering if you can give us a little more color, particularly with regards to demand from the QSR customers outside of North America. And then sort of related to this, considering the amount of new product introduction that you guys have had and relatively easy comps as the year progresses, why shouldn't we expect a little bit more growth than what you're guiding for in 2013?
Glen E. Tellock: Well, Mike, go ahead.
Michael J. Kachmer: Well, I -- the first part of the question, with regard to the balanced growth that's occurring across geographies, we did see success in the fourth quarter. And even in our toughest market, which is really the Western European market, we did reasonably well also. We had good success with our accelerated cooking products, some of which was geared towards the QSR segment and others towards the general market. The additional point around QSR in total, we are continuing to build up our connection to that segment. Our revenues associated with that segment continue to grow. The resources that we deploy against that segment continue to be enhanced, and we see significant opportunities in '13 and beyond. It's a really important category for us, as we've explicitly stated is part of our strategy.
Carl J. Laurino: The other thing that I would say about the guidance, Mig, is because this is an industry that tends to be correlated to consumer confidence and there is a lot of uncertainty in certain geographies in Europe, in particular but elsewhere as well, we don't have a significant expectation for any kind of market cooperation in Foodservice. And the thing that will drive the guidance that we've given are the types of things that you're talking about, the new product introductions is a key driver there. So that's where we stand from the guidance.
Operator: We'll go next to Seth Weber with RBC Capital Markets.
Seth Weber - RBC Capital Markets, LLC, Research Division: Just wanted to go back to something, I think, I heard Eric say. Is Europe going to be an increasing headwind to the Crane business this year? I mean, it strikes me that it's probably not getting much worse from here or did I mishear or something? Or is it just kind of bumping along the bottom?
Glen E. Tellock: I don't think it's worse. That's not -- I think it just -- it's not -- it's a headwind in any of our growth projections. That's certainly the way to look at it. I mean, we have it as a flat market. [indiscernible] The big decreases came in 2009, 2010. I mean, that's -- you've just been bumping along the bottom since then.
Seth Weber - RBC Capital Markets, LLC, Research Division: Right. And can you remind us how far down that market has come, I guess, peak to trough?
Glen E. Tellock: Do we have to?
Seth Weber - RBC Capital Markets, LLC, Research Division: I mean, is it like 75% or so, something like that?
Glen E. Tellock: You're in that range. It's probably a little bit more than that.
Seth Weber - RBC Capital Markets, LLC, Research Division: Okay. And is that largely the tower business? And are there any measures that you could take in that business on the cost side?
Glen E. Tellock: Yes, and that's -- I mean, that's exactly what's going on. I think when you look at the commentary that we made and the -- taking some of the tower crane manufacturing and going to a common platform of managing the facilities in France, we are taking some actions. You see the -- in the financials, we took a restructuring charge, a lot of that is for Europe. But when you look at, basically, the tower crane business, that's what it is. I mean, yes, there is -- Eric says Italy, Spain and Portugal are dead, I mean, dead from a growth standpoint. There are still things that are -- whether it's some RTs or small crawlers or whatever it's going to be, I mean, you still have those one-offs. But we just aren't looking as -- it'd be foolish for us to think that there's any growth there, but yes, we are improving the cost side of the basis. And last year, we had the implementation of Project One in France. We've done it in Portugal, so -- I mean, that's all in Crane care[ph] Europe. That's all helping the cost structure that we have in Europe.
Seth Weber - RBC Capital Markets, LLC, Research Division: And then, I guess, just more broadly on the price cost equation. I mean, do you feel like you're getting pricing, globally, that's going to cover material costs and can you just comment on the competitive environment for pricing for cranes?
Carl J. Laurino: Sure, Seth. As you know, we try to be a leader from a pricing standpoint. It's difficult for us to do that in cranes. You know about the big headwind that we had in 2011, for the obvious reasons, as a late-cycle business. But over the longer period, I think we tend to do very well from -- getting the pricing that's necessary for us to cover the material cost increases and the margin expansion comes from our operational efficiencies.
Glen E. Tellock: I would also mention, Seth, you asked -- this is just -- you said in Cranes, I wanted to reemphasize that it's also in Foodservice. I mean it's not -- I mean, it's not like Mike and his team have an easy goal of it in putting pricing increases through or with competing with competition in the product line. So I mean, it's a competitive environment and -- but I don't think it's going to -- I don't think it's any different in 2013 than what we saw in 2012.
Seth Weber - RBC Capital Markets, LLC, Research Division: Fair enough. Just on food, do you feel like the quick service guys are more likely to spend than the institutional? It sounds like there's been some slow -- some more challenges on the institutional food business lately.
Glen E. Tellock: I'll let Mike address that.
Michael J. Kachmer: I think it's a fair point and I think it's accurate. It varies a little bit by geography but net-net, in our largest markets, we think the quick-service restaurants will spend more in '13 and probably into '14.
Operator: We'll hear next from Rob Wertheimer from Vertical Research Partners.
Joseph O'Dea - Vertical Research Partners, LLC: It's Joe on for Rob. First question, with respect to Cranes, just in terms of the operational benefits to margins in '13, how much of that did you really already have in 4Q? And then maybe with the pushout of some of the $120 million of activity from 3Q to 4Q, did that weigh on margin at all in the quarter, just sort of a bit of a rush to get things done?
Carl J. Laurino: Well, we'll always get volume benefits. Probably not quite as much in 4Q as the top line would have reflected, because we did have some pent-up activity that we simply weren't able to ship. But as it relates to the operational initiatives that we have, that we expect to enhance 2013 margins, it's essentially driven by the new initiatives that will be put in place throughout the year and obviously, getting some full year run rate from some of the actions taken this year.
Joseph O'Dea - Vertical Research Partners, LLC: Okay. And then just another one on the pricing environment. I mean, how well would you say pricing is sort of sticking in this environment? And are competitors maybe being a little bit more rational or does it vary considerably by kind of product line still?
Glen E. Tellock: Well, I mean -- and that's why I made the comment just at the end of the other one, that it really hasn't changed from 2011 or 2012. I think there's some competitors that you would qualify as rational and some irrational. But I'm sure with certain customer or certain products or certain regions of the world, I mean, all of us are going to be -- I mean, hey, anytime you lose a deal, it's -- someone's going to call you irrational. So -- but I think it's reasonable, so I don't -- I think the price increases that we've put through have been reasonable. I think people understand them and they can understand them when you show them the data as to why it is. I don't think people are looking at it and saying it's unreasonable for where the commodity markets are and things like that. So I mean, look, Carl made the point, we try to lead with it and I think when you look at some of competitors no matter who it is, whether it's Foodservice or cranes, it depends with the business model. Some would rather take a loss than have market share. And I think -- we feel our products are leading brands and it should be afforded some of the things that come with being a leader so we'll continue to compete just like everyone else and the guidance kind of reflects that appropriately.
Joseph O'Dea - Vertical Research Partners, LLC: Okay. Last one just on the tax rate with volatility over the course of the quarters, are you able to frame anymore what to look for in the first quarter?
Carl J. Laurino: Well, it will be very high again in the first quarter. I mean, it's just the seasonal aspect of the business. You saw what happened in the first quarter last year. Don't necessarily expect it to be quite that high again, but the mid-30s percentage effective tax rate is something that is a full year metric. That will be skewed probably on -- the effective tax rate will be higher -- probably, considerably higher than that in the first quarter, probably lower than that in the second quarter and closer to that to the full year -- to the metric in the last 2 quarters.
Operator: And, ladies and gentlemen, that does conclude today's question-and-answer session. I'll turn the conference back over to Mr. Khail for any additional or closing remarks.
Steven C. Khail: Before we conclude today's call, I'd like to remind everyone that a replay of our fourth quarter conference call will be available later this morning. You can access the replay by visiting the Investor Relations section of our corporate website at www.manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in the Manitowoc Company. We look forward to speaking with you again during our first quarter conference call in May. Have a good day.
Operator: Again, ladies and gentlemen, that does conclude today's conference. Thank you all for joining.